Operator: Good day, ladies and gentlemen. Welcome to the TELUS 2014 Q1 Earnings Conference Call. I would like to introduce your speaker, Mr. Paul Carpino.
Paul Carpino: Thank you, Peter. Good afternoon, everyone, and thank you for joining us today. In addition to releasing our strong first quarter results earlier today, we hosted our annual general shareholders meeting here in Vancouver. We hope you had a chance to listen as we recap TELUS' 2013 performance highlighting our consistent and strong track record for delivering industry-leading growth metrics and driving the best returns to shareholders amongst our global peers. The Q1 news release and detailed supplemental investor information are posted on our website, telus.com/investors. On the call today will be Executive Chairman, Darren Entwistle, who will provide some opening comments, followed by a review of operational highlights by Joe Natale, President and Chief Executive Officer; John Gossling, our CFO, will then provide a review of our first quarter financial results. After our prepared remarks, we will conclude with a question-and-answer session. Let me direct your attention to Slide 2. This presentation answers the questions and statements about future events such as 2014 targets, intentions for dividend growth and future share repurchases, are subject to risks and uncertainties and assumptions. Accordingly, actual performance could differ materially from statements made today, so do not place undue reliance on them. We also disclaim any obligation to update forward-looking statements except as required by law. I ask that you read our legal disclaimers and refer you to the risks and assumptions outlined in our public disclosures and filings with the securities commissions in Canada and the United States. Let me now turn the call over to Darren starting on Slide 3.
Darren Entwistle: Thanks, Paul. TELUS once again realized strong operational and strong financial results, driven by our innovation leadership in both wireless and wireline data services, coupled with our intents, continued focus on company-wide efficiency initiatives. The strong start to the year reflect the continued success of our long-standing strategy of investing in advanced broadband and technologies and services and the long-term value we continue to realize from our successful Customers First strategy. TELUS' operational and shareholder highlights for the quarter include adding 96,000 new wireless postpaid, high-speed and TV net additions. Delivering a North American industry-leading wireless postpaid churn rate of 0.99%, our third consecutive quarter at less than 1%. Achieved an industry-leading wireless revenue of over $4,400, realizing the best access line retention results in the past 7 years, returning $648 million to shareholders through April 2014, building on a more than $1.85 billion return in 2013 and now exceeding $10 billion since 2004. And finally, announcing a 11.8% increase in the company's quarterly dividend to $0.38 per share. The seventh dividend increase since May 2011. Our continued profitable growth, robust free cash flow, and as well as our strong balance sheet enabled TELUS to simultaneously invest for future growth and returning cash to our investors through our multiyear dividend growth and share purchase programs. Indeed, our strong balance sheet positioned us well for this year's 700 megahertz spectrum auction where we successfully acquired licenses according to a national average of 16.6 megahertz of wireless spectrum at a cost of $1.14 billion. Importantly, this substantial acquisition of valuable spectrum will enable our company to deliver enhanced wireless service to our customers in areas traditionally less accessible by cellular devices in both urban and rural communities, and as well continue meeting our clients' ever-increasing demand for data service reliability, data service speed and data service coverage. Recently, we announced our leadership progression, which was fostered to TELUS' world-class succession planning. With our team chair, Brian Canfield, beginning he's well earned retirement, the appointment of Joe Natale as our new President and CEO, and my progression to executive chair, I'm confident in the same success of our organization. Indeed, I'm excited to continue leading the progression of our national growth strategy alongside Joe, an exceptionally proven and highly talented leader who's going to take this company to greater heights. This past, the TELUS' strategy and culture is helping to differentiate our performance in the marketplace. Our company, in my opinion, remains well positioned to take advantage of future opportunities and to build momentum in a rapidly evolving and a highly competitive environment to continue delivering leading value to our investors in the years ahead. And now I'd like Joe to take you a through a succinct review of our first quarter operating results before John covers our financial highlights.
Joseph M. Natale: Thank you, Darren, and thank you for those very kind comments. Our consistent strategy has led to transformation and growth of the TELUS into a national communications provider, and a successful customer focused and sustainable national new entrant wireless provider. We're seeing great traction on our journey to put customers first. And the impact of that is very evident in the momentum in both wireline and wireless, and our financial and operating results was strong and I will take it through. Starting on Slide 4. TELUS reported industry-leading first quarter postpaid wireless net additions of 48,000. TELUS has led the industry in postpaid net additions for 3 of the last 4 quarters. The mix continued to shift toward postpaid and smartphones, with our strategic focus on quality, higher value smartphone subscribers. Postpaid net additions were down slightly year-over-year, reflecting slower market growth and a continued competitive intensity. However, our leading 57% share of industry postpaid net additions generated by the national carriers supported the ongoing expansion of our postpaid subscriber base and market share. As shown on Slide 5, TELUS reported a low first quarter blended churn rate of 1.39%, a 9-basis-point improvement over the last year. Postpaid churn improved 12 points to a North American industry low of 0.99%, the third consecutive quarter it has been less than 1%. This is the lowest first quarter churn in 7 years and achieved in another intensely competitive quarter. Postpaid churn less than 1% is outstanding accomplishment by our TELUS team and clearly demonstrates the continued success of our relentless efforts to differentiate TELUS through a superior customer experience. Notably, we reported lower churn, while at the same time reducing our investment in cost of retention by 20 basis points to 10.7% of network revenues. Earlier today, JD Power released the results of their most recent customer satisfaction survey with a third year in a row Koodo ranked #1 standalone wireless provider and the TELUS brand was the top ranked amongst the national full service providers. Moving to Slide 6. We reported a 14th consecutive quarter of year-over-year blended ARPU growth, up 2%. TELUS led the industry in share of service revenue growth in the first quarter. We remain confident in the economics and customer appeal of SharePlus plans and the ongoing prospects for future growth from increased data penetration in roaming, enhanced speeds and an expanded range of services and applications. Our smartphone subscriber base continues to grow. Now the industry-leading 78% of our postpaid base, a 10 percentage point increase. This represents an ongoing opportunity for us as smartphone penetration moves towards 100% of postpaid voice capable devices, as we have seen in other developed markets. Data and smartphone growth is being supported by the continued enhancement of our 4G LTE network, covering more than 81% of the Canadian population, while 99% of Canadians can enjoy our 4G HSPA+ network. Our customers require access to high-speed, reliable data and that is why we're making significant investments in our infrastructure and deploying and repurposing spectrum as quickly as practical to meet their needs. Turning to Slide 7. Our industry-leading churn in 14 consecutive quarters of year-over-year ARPU growth are supporting continued leadership in lifetime revenue per subscriber, up again this quarter to more than $4,400, the highest first quarter result in 7 years, and 20% better than our peers. Our best-in-class cost of acquisition for gross addition was relatively flat in spite of the intense competition, lower gross additions and our focus on smartphone loading. TELUS' marketing efficiency measures a ratio of cost of acquisition per gross addition to lifetime revenue remains industry-leading at 8.5%, a 60-basis-point improvement. In summary, our superior wireless operating metrics continue to be underpinned, while our strategic focus on the high-quality loading continued proliferation of smartphones and elevated and consistent customer experience. Turning to wireline on Slide 8. We continue to build increased scale in TV and high-speed Internet. We reported TV net additions of 27,000 with our basic spending by 18% year-over-year to 842,000 customers as we continue to grow market share. Since its launch in June 2010, the demand for our premium and consumer friendly Optik TV service has been strong, and our market share continues to grow. In addition, there continues to be a strong pull-through growth in the demand for higher margin high-speed Internet with an increase of 21,000 subscribers in the quarter, as a result, our Internet base grew by more than 5% year-over-year. Through our continued broadband investments in pushing fiber deeper into the network, including directly to homes and businesses, we now offer 50 megs of Internet to close to 90% of our approximate 2.8 million Optik capable households. We are seeing continued improvement in Optik TV and Internet metrics, including first quarter ARPU and churn for both products. Our successful focus on offering compelling bundles and winning the home, as illustrated by the lowest residential NAL losses we have seen in 8 years. The down [ph] post of 30% to 24,000, reflecting ongoing, yet moderating substitution trends. This is the second quarter we have seen residential NAL losses trending down in the mid-20,000 range. Combined TV and high-speed net additions of 48,000 exceeded residential NAL losses by 2x. This was a 15th consecutive quarter we have seen this trend, while also setting a record for the highest first quarter ratio we have seen. Total wireline customer connections increased by 24,000 in the quarter. Our triple play product offering has never been more compelling. As a result, we have seen a 5% increase in triple play ARPU over last year as we expand coverage and speed and add new context. If you look at our new Optik TV customers in the first quarter, 76% were brand new to TELUS, 80% added either Home Phone or high-speed Internet or both, at the same time that they added TV, and 97% have at least one other Future Friendly Home products. We are committed to continuing to innovate and enhance the Optik TV experience for our customers. This was evident in TELUS offering the most comprehensive coverage of the Sochi 2014 Winter Olympics, in the first quarter, as well as our launch of additional live streaming content for Optik on the go. Optik TV customers can now watch 59 TV channels on their smartphone and tablets, complementing more than 8,600 video-on-demand titles also available on Optik on the go. While the market is competitive, we remain very focused on initiatives aimed at enhancing efficiency to mitigate impacts of substitution and competition. This ongoing focus on operating efficiency is at the same time helping us continue to enhance effectiveness in delivering a superior experience to our customers. So before I turn it over to John, turning to Slide 9, let me summarize 5 key operational highlights reflected in our first quarter results. The first is our leading postpaid wireless subscriber growth, where we took 57% share of net additions generated by the major national carriers. The second is our postpaid churn, the lowest in Canada and, in fact, in North America. The third is wireless ARPU, the highest in Canada following 14 consecutive quarters of growth and driving industry-leading wireless network revenue growth. The fourth is wireless lifetime revenue per customer, also the highest in Canada. And the fifth is our wireline growth with Future Friendly Home, which is the most rapidly growing wireline business in Canada. All of which have led to strong EBITDA performance and revenue growth in both wireless and wireline. As Darren referenced earlier in this AGM presentation to shareholders, TELUS' focused on what matters to you, our customers and investors. We operate in a highly competitive industry and one that is constantly changing. But this represents an opportunity for TELUS as we have a sound strategy that we have stuck with since 2000, and that puts customers first. With this, the 14-year track record we've established and the team culture and management depth that are second to none, TELUS is well positioned to continue to successfully navigate these changes. I'll now turn the call over to John to take you through some of the financials. Mr. Gossling?
John R. Gossling: Thanks, Joe. Good afternoon, everyone. I'm on Slide 10. First quarter wireless result continued to demonstrate our strong operational execution, as Joe has taken you through. Total revenue was up 5.6%, driven by network revenue growth, which was up an industry-leading 5.3%, due to subscriber growth and increased data usage from continued smartphone adoption. EBITDA increased by 3.6%, but was negatively impacted by $10 million for the inclusion of Public Mobile. Excluding that negative impact, EBITDA increased by 5.1% to $700 million reflecting a margin of 45.3% of total revenue, up 40 basis points year-over-year. Capital expenditures increased due to continued investment in wireless broadband infrastructure, as well as system resiliency and reliability in support of our ongoing Customers First initiative. As shown on Slide 11, our wireline financial results also continued to show solid growth. Revenue increased by 4.4% due to 10% data revenue growth primarily from TV and high-speed Internet subscriber growth combined with higher ARPU. Wireline EBITDA increased a strong 5%, representing a margin of 28.0% compared to 27.8% a year ago. This growth reflects positive momentum in Optik TV and Internet margins helped by continued subscriber and ARPU growth, as well as ongoing operating efficiency initiatives. Wireline capital expenditures were flat compared to last year due to the completion of our Internet data centers in 2013, as well as lower expenditures for business growth, partly offset by increased broadband investments and raising the networking systems for future retirement of legacy assets. On Slide 12, our consolidated results reflect a success and traction of our strategy, which is delivering industry-leading revenue and EBITDA growth, while reliably returning capital to our shareholders. Revenue increased by 5%, benefiting from continued growth in both wireline and wireless. EBITDA was up 4.2%, but up 5.1% when excluding the negative impact from the inclusion of Public Mobile as discussed earlier. Basic earnings per share were $0.61, an increase of 8.9%, and I'll discuss the puts and takes on EPS in the next slide. Simple cash flow was $581 million as EBITDA growth was partially offset by higher CapEx as we continue to invest in our business for future sustainable growth. We established industry-leading financial targets for 2014 in February, and our Q1 results showed we're well on track to achieving them. Slide 13 provides a breakdown of EPS drivers this quarter. Strong EBITDA growth, excluding Public Mobile, was the primary driver adding $0.06 to the upside; lower shares outstanding reflecting our share purchase program added $0.03 to the upside; higher financing costs combined with higher depreciation and amortization expense resulted in $0.02 to the downside; and higher income tax rate impacted EPS by $0.01. Meanwhile, the inclusion of Public Mobile unfavorably impacted EPS this quarter by $0.01. Excluding that negative impact, EPS was up 10.7%. As outlined on Slide 14, capital markets continue to embrace our strategy with a successful completion in early April of our $1 billion debt financing at attractive interest rate. As a result of a good market environment and strong demand for our notes, we were able to lower TELUS' average cost of long-term debt to 4.89% compared to 5.44% at the end of 2012. We also extended the average term to maturity of TELUS' long-term debt to 10.3 years compared to 5.5 years at the end of 2012. In addition, TELUS further strengthened our balance sheet and liquidity by extending our credit facility to May of 2019, while also expanding it's size by $250 million to $2.25 billion. These financing activities combined with our profitable growth, we affirm TELUS' strong position of being able to return to capital to shareholders, while at the same time, investing in our business for future sustainable growth. Let me conclude before I turn it back over to Paul on Slide 15. TELUS' continued the strong operational executional combined with our strong balance sheet leaves us well positioned to continue executing on our multiyear shareholder-friendly initiatives, including our dividend growth and share purchase programs. Under our dividend growth program, we announced today an 11.8% year-over-year increase to our quarterly dividend, $0.38 per share or $1.52 annually. Through our 2014 normal course issuer bid [ph] program, till the end of April 2014, we have purchased approximately 5.4 million shares for $202 million, reflecting an average price of $37.45. As Darren mentioned during our AGM today, with July 2 dividend payment declared today, we'll surpass $10 billion in cash return to shareholders over the past decade, about $16 per share. And with that, let me pass the call back to Paul.
Paul Carpino: Thanks, John. Peter, can you please proceed with questions from the queue for Darren, Joe and John?
Operator: Our first question comes from Richard Choe.
Richard Yong Choe - JP Morgan Chase & Co, Research Division: Wanted to know given that we've seen 3 quarters of sub-1% postpaid churn, do you think you can continue this going forward? Obviously, the competitive measure might influence that, but it seems like you've kind of broken this level of churn and it could stay there for a little bit?
Joseph M. Natale: Sure. I think our most important secret weapon at TELUS is our focus on putting customers first, and the churn is the direct results of the organization-wide cultural imperative. It shows up in everything that we do as an organization, our focus on driving customer satisfaction. You heard this morning about most recent 3 years in a row being ranked top provider by JD Power. That's a great headline. But what it really underscores is that, throughout the organization, we have examined every single aspect of how we serve customers and continue to create new reasons for people to come to TELUS. And fundamental to that is the ability to continue to drive good churn performance. I think it does a few things for us. It certainly is -- creates strong economics as a whole because it's best to keep the customers you already have versus spending money to get new customers and that's clearly a simple equation from that perspective. But as we get to competitively intensive periods and there are all kinds of aggressive promotions in the market, it allows us to stand back from the frame a little bit and be a little more sanguine, because we know we've got a strong churn performance to make sure that we support the economic commitments that we've made as an organization. The team couldn't be more focused on that, and it's something that we're going to guard specifically. We've been at it now for a long time. It's not something we've invented overnight. Our goal is to widen the gap between ourselves and our competitors. There's been a lot of discussions as of late from some of our competitors really emulating in our footsteps around some of the actions, mindsets and policies that we struck around managing churn and increasing customer loyalty. And to me, that's a rallying cry to our team to say we must, not just maintain that gap between ourselves and our competitors, we must widen that gap so that we're forever the leader on this front. So that is very important part of our future, and one of my top priorities in the organization.
Operator: Our next question comes from Drew McReynolds.
Drew McReynolds - RBC Capital Markets, LLC, Research Division: Just two questions. I was actually going to touch on the customer service. Obviously, we're hearing a lot from Bell and Rogers as that being the priority for them. I'm just wondering if you can talk to kind of the gap that you feel you have and where you think you could, kind of, improve on the customer service front? And then just a second question, you talk about moderating wireless substitution. Just wondering, a couple of quarters back, I think, there was a little bit more clear out there that substitution won't accelerate and then put some downward pressure on your residential NALs. I'm just wondering, in the last couple of quarters what's changed? Do you think it's TELUS specific or do you think there's something out there that's easing that's industry-wide?
Joseph M. Natale: Sure. On the customer service front, I'm not sure there's any magic elixir. In fact, I know there's no magic elixir. Our customer service is a team sport that requires the engagement and focus of everybody in the organization. The greatest advantage we have is cultural and we'll continue to invest in the hearts and minds of our people and keep them focused on that imperative, and it's hard to be more specific than that. It is very important to us, it's part of our secret sauce, and we're going to maintain a focus on keeping our secrets to ourselves because it's very important for our future. With respect to wireless substitution, I think a few things are in play. First of all, our cable competitor now has a sufficiently sized base of home phone customers that the impacts of wireless substitution are being felt not just by the TELUS organization but by our competitor as well. In terms of the moderation of wireless substitution, it's a combination of things. Our thesis around TV was never just about selling entertainment. It was always about creating pull through in the home and inoculating our residential services and creating a foundation, frankly, for other incremental next wave solutions that might be added to the home over time, whether it's home automation, home security, all the things that you've heard us talk about in the past. So as part of that, the decision by a homeowner to kind of say, "You know what, I'm going to select or deselect the home phone" is not necessarily a singular decision anymore. It's actually wrapped up now in a decision around how do I feel about my provider, giving me all the services that are important to the household. And more than ever, we're seeing customers become not just triple play customers for TELUS but quad play customers, including wireless. And in a world where the wireless and wireline platforms are coming together, you at Optik on the go, another great reason why wireless and wireline are coming together, we're seeing customers make whole home decisions and looking at them and saying, "You know what, in the context of a whole home decision, I do want to keep the landline." I think also, you look at weather conditions across Canada the last number of months, whether it's ice storms in Toronto, whether it's foul weather in parts of Alberta, all the challenges that the people learn recognize that there's a resiliency and safety factor in the home phone that is important to people. And yes, young people generationally are disconnecting or not getting a home phone to begin with. We're also seeing young people as they mature and start a family saying, "Maybe it's worth making that investment in that home phone as part of the overall bundle, because it gives me peace of mind and piece of mind is important, especially coming form my telco provider who's been there for a very long time, providing peace of mind." So I think it's not one singular thing, Drew. I think it's a combination of those things coming together.
Operator: Our next question comes from Phillip Huang.
Phillip Huang - Barclays Capital, Research Division: A question on the wireline margin. Great to see that it's expanding for the first time in years. Maybe a question for John. I know that cost efficiency is an ongoing process and you have a longer term target to get wireline margin maybe up to a 3 handle. Could you maybe give us an update on some of the opportunities you see over the next couple of years to help further expand margins?
John R. Gossling: Sure, Phil, I can and Joe can probably help as well. I don't think the story has changed a lot from what we said over the last few quarters. So our progress is good on margin expansion as you pointed out. The initiatives that will drive that are well underway, and we're actually closing and tracking very well to that plan. Actually, a little bit ahead at this point. So the initiatives will also continue to be augmented as we go along. There will be always new things that are considered and added to the list of projects that have to get done. So those relate to things that can be as small as $0.5 million up to several million dollars, it just depends on what we're looking at. And those can be things in customer service, in efficiency of our field force, all the types of things that we talked about before. The other important thing you have to remember in wireline, in terms of the margin, is there's a big mix effect happening. So what Joe just talked about on home phone and the now situation does affect the margin in a positive way. So the mix of products that we're seeing, together with a very large and getting to be more mature TV base also helps. So there's a lot of moving pieces within the wireline margin but at this point, they're all moving in that right direction.
Phillip Huang - Barclays Capital, Research Division: That's very helpful. And maybe a quick follow-up for Joe on the -- maybe on Shaw Wi-Fi. I mean, Shaw has obviously been pushing forward with their Wi-Fi footprint expansion quite rapidly. From today's results, there certainly doesn't appear to have any signs of impact on your data growth. But how do you view this development in your home turf? And should be concerned at all?
Joseph M. Natale: I think, first of all, there's no question that Wi-Fi usage is important to every consumer and that's why we see Wi-Fi availability in restaurants, in municipal areas, you can walk into a Starbucks or Tim Hortons, you get free Wi-Fi. So Wi-Fi is sort of an important capability overall. What it looks -- when we look at Wi-Fi deployment from our cable competitor, I'd say a couple of things. First of all, we're not seeing any impact of any substance with respect to either customer churn or respect to customers not choosing TELUS because of that Wi-Fi capability. I mean, it's something that we watch very closely. I look at, on a regular basis, all the reasons why people leave TELUS. On a regular basis, I look at the success that we have within our sales areas, our outstanding [ph] areas and look at the reason why people choose not to come with us. And I have to tell you that when it comes to our cable competitor's Wi-Fi capability, it doesn't show up on the radar as being a major reason for either a loss of the customer or someone not coming to TELUS. Having said that, Wi-Fi is an important capability that we will deploy over the course of the next many years. As we move towards a small cell underlay, the capability to offload our macro wireless network and support a contiguous experience from the macro through to the micro towards the Wi-Fi in the home is a very important part of our broad service offering. I think that is the future of the wireless business, is that contiguity. So whether you're off in the back bowls of Whistler and getting covers there, whether you're in your living room, whether you're walking down the street to the café, whether you're in the park with your family, it's that contiguous coverage and a very seamless customer experience is what we're striving for, rather than having customers log in/log out the different Wi-Fi capabilities along the way. And given the dynamic consumption of bandwidth that exists in our marketplace, the demand has never been higher and diving exponentially. There's an economic benefit to us by satisfying the needs of customers and relieving some of the capital investment that's required to build both the macro and micro networks.
Operator: Next question comes from Dvai Ghose.
Dvaipayan Ghose - Canaccord Genuity, Research Division: A couple of questions for me. The first is on the business market. If I look at Bell, they reported earlier this week, a 43% increase in business line loss and they attributed it to voice over IP substitution, as well as weak economic conditions. I had to check the TELUS number a few times because apparently, you reported 0 line loss on the business side. So why is there this massive delta? Is this just an East Coast versus West Coast thing or are there other factors at play?
Joseph M. Natale: I can't speak to specifics of what's happening with our competitor, I can talk you our business. And our business, a few things are happening. First of all, we continue to win strong, economically-rational business across the country in the B2B market, and that's contributing to our growth. We have strong capability in some very important protocols. We've talked often about our healthcare business, and our healthcare business is not just driving healthcare IT solutions, it's driving along productivity solutions that are bringing with it WAN connectivity, high-speed connections, et cetera. So those vertical solutions are helping to drive and propel our growth. We are fully exposed to the economic growth that's happening right now in places like Northern Alberta, lower mainland of British Columbia and as a result, we are capturing that economic growth, and that's helping to drive our business growth as well. Our offering in the small business market is very comprehensive. When you buy a small business solution from TELUS, it's not just about connectivity. We're offering a all-in, cloud-capable solution that gives voice services, data services, security services, other applications capabilities, backup services and really kind of creating a capability for a business customer to have peace of mind to pay a very simple per unit price each month, and that is helping us to not just protect our capability on the business wireline but actually grow and take share on that front. As all those things come in together, at the ned of the day, the team has been both innovative, creative and driven to go after the market, and I think we've proven that we can do so economically.
Dvaipayan Ghose - Canaccord Genuity, Research Division: My second question is on the management succession that was enacted today. Congratulations on assuming the CEO position. I was wondering if you and/or Darren could talk about delineation of responsibilities going forward. And Darren, in particular, if you can talk to us about your future commitments to TELUS?
Darren Entwistle: Well, I think, Dvai, let's just leave it that my future commitment to TELUS are over the long term, whether the manifestation of that is in the exec chair role or evolving into a non-exec chair capacity, if the circumstances present themselves, my commitment to this organization is long term. Secondly, from an executive oversight perspective, I'm completely committed to the continuity of the strategy of this organization that's borne such fruitful results for investors and the team of people across the organization that executed that strategy so successfully. And then thirdly, I am completely committed to the success of Joe Natale and the leadership team, and I plan to support them in that regard. And I think collaboratively, Joe and I have enjoyed a lot of longevity for the last 11 years together, that's been a very beneficial relationship for investors and customers alike, and I would see that as continuing into the foreseeable future. I feel very good about the culture that this organization has on a collaborative basis. So when I put it all together, I think about long-term commitment, when I see a company that, once again, in Q1, is firing on all cylinders and has a multiplicity of growth engines being enacted because of the success of our strategy and the skill of our team putting that strategy to work, and then you hear my commitment to support the leadership team of this company in general, and the success of Joe in particular, I think that's a sufficient answer to your question.
Joseph M. Natale: If I may, Dvai, Darren and I have worked incredibly well together for 11 years. We've worked very closely on some of the most important decisions we have made as an organization over the last 11 years, and we've also sweated and fretted through some of the most challenging moments we've had as an organization over the last 11 years, and that partnership has been forged and has been a very successful one. I wouldn't be sitting here today if it weren't for the strength of that partnership and that collaboration. And I feel fortunate to have that partnership and collaboration continue. To me, it's not about delineation. To me, it's about the sum of the parts being greater than the individual components, and that's been the strength of our leadership duality of partnership over the years, which will continue in the future. I think investors are going to benefit from that. I think team members will benefit from that. It's a great thing for the organization as a whole.
Operator: Our next question is from Simon Flannery.
Simon Flannery - Morgan Stanley, Research Division: Can you talk a little bit about the integration of Public Mobile? There's obviously a drag on the EBITDA line this quarter. Presumably there's some synergies that you can achieve over the next couple of quarters, any color on how that's going and what we should look for going forward? And then in terms of the adds, we saw 70% of postpaid adds in the U.S. tablets this quarter. Do you see an opportunity there or do you think that is going to stay primarily a Wi-Fi device?
Joseph M. Natale: Why don't I talk about the integration, how's it's going, and maybe John, you can talk about maybe the dilution leading to accretion tax side of it. I think that would be a good thing to kind of comment as well, tax losses, et cetera. So the integration is going well. We've struck a team to really look at it from a network point of view, a distribution point of view, a customer point of view. We've begun the process of migrating customers over from the Public Mobile network onto the TELUS HSPA+ network, and we've launched capability in the marketplace to do so. We're starting to rationalize distribution as appropriate. We have a number of Public Mobile stores now selling Koodo as well for customers that are looking to make the switch and maybe re-up into a more postpaid offer because there are some customers that would like to make that bigger investment, sort of more for more, if you will. So I think it's going extremely well. We've retained some of the best talented people that were part of the Public Mobile team. In fact, we're quite delighted with some of the capabilities that have come on board from individuals that will become a very important fabric in the TELUS organization as a whole. And yes, there's some dilution as we work our way through the synergies, but we're headed towards a farther place than that. Maybe, John, you want to spend a few minutes on that and then I'll take it back on tablets.
John R. Gossling: Sure. Simon, the other important synergy that comes with the integration is, of course, the tax benefits. So I think we talked about this on our last call and as part of guidance. There's about $100 million cash tax benefit that will come out of the public integration that doesn't happen until the first quarter of 2015, just the way the timing of installment payments and final tax returns on payments happen in Canada. So that benefit is also still significant and out there for early next year.
Joseph M. Natale: On the tablet front. No question, there's a great appetite for tablets in the marketplace. In fact, we're seeing an appetite for tablets and increasing appetite for all kinds of other connective devices on the phone at this [ph] time. At the end of the day, I think tablet as a Wi-Fi only offering is certainly something we're seeing at some parts of the market, but we're also seeing that in places where we're offering customers a more -- a broader solution, maybe even in the case of easy pay. There's an easy pay formula that we struck where we're helping customers, if you will, finance the cost of that tablet. Not subsidizing the tablets, we've done no subsidy of tablets. Where we're helping finance the tablet, we're seeing customers make that investment. The SharePlus plans are helping. SharePlus plans, you can have a tablet you can share in the family pool of data, data bucket the family is assigned. So there is an approach to the marketplace where tablets can be accretive to overall mobile revenue. There's no question that the individual ARPU is lower but as you heard us say many times in the past, our focus is on average margin per unit. And if we can maintain a discipline where we're not subsidizing tablets and we're continuing to add that capability to our customers plans, I think there's a good market there.
Operator: Next question comes from Maher Yaghi.
Maher Yaghi - Desjardins Securities Inc., Research Division: I want to ask about the wireline business margins and when you look at EBITDA margins even after restructuring, the first quarter in many years that we are seeing increases in year-on-year margins, are we at a point -- I know you want to be cautious in answering this question, but are we at a point where margins are -- the cost of operating the TV business and having subscribers with the TV business is starting to be as taken out by the operation and margins going forward should start to move higher steadily?
John R. Gossling: It's John, I'll take that. I think just following on from the earlier question, you're right that we are cautious on it. It depends a lot on mix in any given quarter and how that evolves. If you look at the guidance for the year, recognizing that the EBITDA range is fairly wide on wireline, but that does imply that there's potentially some margin expansion that we can see in this year, and that's certainly our goal. We, internally, we push very hard for that margin expansion in wireline. So I think we're on the same page with what you're saying and asking, and it really comes down to in any given quarter, is there mix driving it one way or another, but we would certainly, over the medium-term, that's the direction we've going.
Maher Yaghi - Desjardins Securities Inc., Research Division: And so if we're at that point of change in margins, when you look at the operating leverage of that operation, how do you think when you're looking at this business maybe a few quarters or a year or 2 down the road? Where would you like to take this operation in terms of margins down the road?
John R. Gossling: Well again, I think on the previous question, the fact that we talked pretty publicly about margins in wireline being in the 30 range where we need to get them back to is what we've been targeting for a while, and you've seen good progress. So we've shown the last 5 or 6 quarters, that we've had good EBITDA growth coming from the wireline segment, and now that's turning, as you mentioned, into some margin expansion as well.
Maher Yaghi - Desjardins Securities Inc., Research Division: That's a lot of operating leverage that's left to come. That's going to be very helpful to catch those. Just one last question on the wireless. In terms of churn, I mean, all 3 companies or incumbents are now focusing on churn, and they're trying to lower their churn, and you definitely, you're way ahead of all 3. But the underlying growth addition is starting to come lower, is moving lower and what can -- as an organization, what can you do to improve the underlying fundamentals of the business and trying to sell more product to customers? Instead of having one phone, having a phone plus an iPad, a laptop, something like that so -- and charge them more services for the same customer. What are the objectives here?
Joseph M. Natale: Let me start first with the objectives. The broad objectives are to continue to grow the revenue base but do so in a manner where we're growing contribution to the margin at the same time, and you've heard us talk about in the past about how we look at it as household, not necessarily just a single customer. And we look at the household in terms of what other connected devices are in that household, whether they're smartphones or tablets or other devices down the road. And within that, we look at the individual component pieces of all those categories, smartphones, tablets, other devices and we look at what the ARPU and AMPU contributions from that mix. I mean, that's the goal. The goal is to kind of win in the connected device market and do so in a manner that continues to drive margin and contribution as a whole. It's not gross loading for gross loading's sake. I think we've proven that the last 4 quarters, we were in last place when it came to gross loading, but we lead the industry 3 or 4 quarters on net loading. That's the sort of sanity that we're trying to maintain in terms of discipline around profitability in the marketplace. Now, there will be seasonally specific periods. Most of the volume is coming from the OEMs right now. The IOS volumes and the Android volumes are largely from Samsung. Well, some other companies as well, but the largest is Samsung right now. So iconic devices will create peak moments in time where customers have a reason to shop, and there's still lots of growth opportunity. Canada's penetration is only at 80%. I mean, U.S., over 100% penetration, there's no penetration room to grow. There's smartphone penetration still room to grow on that front, a 78% still room to grow on the postpaid base as well. Roaming is an opportunity for us. We're a new entrant to the international roaming market. We'll continue to grow our capability on that front. And as we truly drive harder to improve the customer experience around roaming, there's an opportunity to increase roaming overall and get more volumes on the roaming front. Not all smartphones are created equal. There are some first and second generation smartphones, whereas people upgrade their smartphones to new generation smartphones, there's an automatic lift in the amount of data comsumption, and therefore, there's growth on that front. So this is about quality, quality loading and profitable contribution, not just about loading for loading's sake. In a more mature market, the goal is to take the best customers and to drive increased profitability from those customers.
Operator: Next question comes from Vince Valentini.
Vince Valentini - TD Securities Equity Research: Most things have been asked, but let me ask on the wireline side. Anything change in terms of the competitive environment and pricing discipline with Shaw cable in your view, over the past quarter? And also, now that you've kind of lapsed the initial 2-year contracts on your Optik TV customers, are you seeing any increase in churn as TELUS maybe try to do some win back activity?
Joseph M. Natale: Sure. On the first comment, Vince, around the competitive environment, it still competition is moving along at a modest pace. Not aggressive as it was a couple of years ago, but it's still -- it's a very competitive marketplace as a whole. We've been primarily reactive to some of the promotional offers that have been laid up in the market, largely from a win back perspective. Our churn has been improving over the last little while. So the impact of the 2-year plans from a while ago, I think, people are telling that they love the Optik TV solution. We keep adding new features and capabilities to it. We've got some of the best HD capability as a whole. We have almost 9000 titles in the vault library. Optik on the go has been a really compelling feature add overall. So, a lot of our, customers are saying, "I love this new, modern, constantly evolving TV product. I'm not going anywhere." So when we -- that's our mandate above all, is to continue to create new reasons to buy and new reasons to stay. But the other thing, I think, we're starting to get some benefit from overall is the quad play. The quad play is a unique advantage over our cable competitor. And more than ever, with Optik on the go, as they sample our smart remote, the advantage of wireless and wireline coming together is visible and emphatic. In the past, I would say it was more theoretical for a lot of people, but holding that tablet in your hand, you kind of get the integration aspects now as a customer. We're working very hard to make that quad play work, and that's kind of really the story on the TV front.
Operator: Last question comes from Glen Campbell.
Glen Campbell - BofA Merrill Lynch, Research Division: Question on the wireline network. I'm impressed with statistics 50meg capability over 90% of your Optik footprint. So my question is where do you go from here? I mean, edging out, yes, but is there really a business case for doing fiber upgrade to people who already have that kind of capability? Talk a little bit about where you might go over the few years?
Joseph M. Natale: Sure. I'd be happy to do that. First of all, we continue to add new communities. So this past year, we added 8 new communities, and new communities where we're pulling fiber to the home. We stopped pulling copper a long time ago, and therefore there's an opportunity on that front as we expand to communities that have never had high-speed service in the past. So that's one area. Secondly, the appetite for bandwidth and capacity is growing at a strong pace. And what was in the past, maybe a requisite amount of capacity or speed, now as there are more connected devices to the household, more tablets and smartphones, more TV viewing, et cetera, the demand for speed and capacity is increasing. You're finding more and more people are willing to pay for greater capacity and speed. The broadband connections at home has become the new dial tone service, it has become the most essential connection in the household. And finding now that there's going to be increased appetite, which will substantiate our investments in that area. The protection benefit, as I've talked about around the bundle is certainly providing good economic leverage for us as a whole. You have our commitment, as we said in the past, that we will be prudent in our capital expenditure. We will do so with an eye towards sweating the assets we already have in the ground. And as we add new capacity and capability, we'll do that with a mindful eye towards driving economic contribution. I think we've proven now, as John said earlier, over the last 5 or 6 quarters, that we can grow this business. We can grow this business at the same time, we continue to make the investments in the future of this business. At the same time, we can lead the pack in terms of returning money to shareholders. So that is sort of the formula that we're after as a whole.
Glen Campbell - BofA Merrill Lynch, Research Division: Maybe just a quick follow-up. John mentioned readying the network for the retirement of legacy assets. What does he mean by that?
John R. Gossling: That's the copper comment, really. There's more to it in that. Obviously, there's many, many elements in the network that are legacy, but it's primarily around that shift.
Glen Campbell - BofA Merrill Lynch, Research Division: That would be FTTN over Bells space? [ph]
John R. Gossling: No totally, but some. [indiscernible] I just want -- no, not over Bell's space.[ph] That wouldn't be the case in Q1.
Darren Entwistle: Glen, let's draw a line under it. The FTTN program would be modular in nature meted out over numerous years. Number 2, as I've said previously, the economies of scope in that program right now are more significant than what they've been in the past. Because it's not just supporting broadband connectivity requirements and bandwidth requirements as it relates to TV and HSIA, but also the back calling of small call traffic, which is going to be a big component of our macro, micro interoperability into the future. And thirdly, we're looking at opportunities on a fiber basis when we're now enjoying the scale economies in terms of economics from the TV business that's approaching 900,000 clients and a TV HSIA footprint that is going past 2.2 million households. And so when you think about the affordability of doing that type of CapEx investment, doing it on the back of what I think is globally leading the revenue and EBITDA growth from a wireline part of the business, I think that's a pretty smart combination. But as I say, it will be judicious and it will be multiyear and modular in nature.
Unknown Executive: On behalf of Darren, Joe and John, thanks for taking the time to join us today, and we'll speak to you soon.
Operator: Ladies and gentlemen, this concludes the TELUS 2014 Q1 Earnings Conference Call. Thank you for your participation, and have a nice day.